Operator: Good day, everyone, and welcome to OraSure Technologies 2012 first quarter financial results conference call and simultaneous webcast. As a reminder, today’s conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. (Operator Instructions) To allow time for as many questions as possible, questioners are asked to limit themselves to only a single question with no more than one follow-up question related to the same topic. Once the follow-up is completed, a questioner can rejoin the queue for further questions.
 For opening remarks and introductions, I will now turn the call over to Judy Clarke at OraSure Technologies. Please go ahead. 
Judy Clarke: Thank you. Good afternoon, everyone, and thank you for joining us today. I would like to begin by telling you that OraSure Technologies issued a press release at approximately 4:00 PM Eastern Time today regarding our 2012 first quarter financial results and certain other matters. The press release is available to you on our website at www.orasure.com or by calling 610-882-1820. If you go to our website, the press release can be found by opening the Investor Relations page and clicking on the link for news releases.
 This call is also available real time on our website and will be archived there for seven days. Alternatively, you can listen to an archive of this call until midnight May 9, 2012, by calling 855-859-2056 for domestic or 404-537-3406 for international. The access code is 71939275.
 With us today are Doug Michels, President and Chief Executive Officer; and Mark Kuna, Senior Vice President, Finance and Controller. Doug and Mark will begin with opening statements, which will be followed with a question-and-answer session.
 Before I turn the call over to Doug, I must also remind you that this call may contain certain forward-looking statements including statements with respect to revenues, expenses, profitability, earnings or loss per share and other financial performance, product development performance, shipments and markets, and regulatory filings and approvals. Actual results could be significantly different. Factors that could affect results are discussed more fully in the SEC filings of OraSure Technologies including its registration statements, its annual report on Form 10-K for the year ended December 31, 2011, its quarterly reports on Form 10-Q and its other SEC filings.
 Although forward-looking statements help to provide complete information about future prospects, listeners should keep in mind that forward-looking statements may not be reliable. The company undertakes no obligation to update any forward-looking statements to reflect events or circumstances after this call.
 With that, I would like to turn the call over to Doug Michels. 
Douglas Michels: Thank you, Judy, and good afternoon, everyone. Thank you for joining us on our call today. Before we begin, I wanted to let you know that Ron Spair, our Chief Operating Officer and Chief Financial Officer who normally joins me on these calls has had to attend to an urgent and unexpected personal matter involving a family member and will not be able to participate today. Instead Mark Kuna, our Senior Vice President of Finance and Controller will fill in for Ron. And Mark will present our financial results and then he will assist me in responding to your questions at the end of the call.
 With the first quarter under our belt now, 2012 is off to a good start. We are in the final stages of the FDA review process for our OraQuick HIV over the counter tests and we are gaining traction with sales of our OraQuick HCV tests. Consolidated revenues for the first quarter, which included revenue from our recently acquired subsidiary DNA Genotek, were up 20% compared to the first quarter of 2011. I am pleased to report that our consolidated results came in at the top of our guidance range for revenues and we exceeded our first quarter guidance on the bottom line.
 Mark will start with a detailed review of our first quarter financial performance and then I will follow with some additional comments on our business. We will close the call today by taking your questions. And now I will turn the call over to Mark. 
Mark Kuna: Thanks, Doug, and good afternoon, everyone. Our first quarter 2012 revenues were $20.9 million compared to $17.4 million reported in 2011. Revenues for the current quarter included $3.3 million from our molecular diagnostic collection subsidiary acquired in August 2011. Our product revenues increased 16% as a result of the molecular collection system sales and higher sales of our cryosurgical systems products. These increases were partially offset by lower sales of our infectious disease, substance abuse and insurance risk assessment product.
 Our first quarter 2012 licensing and product development revenues included a $1 million milestone payment received under our HCV collaboration with Merck. Our infectious disease testing revenues were $9.8 million for the first quarter of 2012 compared to $10 million in the first quarter of 2011. The overall 2% decrease was primarily a result of lower OraQuick HIV sales in the domestic and international markets, partially offset by higher OraQuick HCV sales.
 Domestic HIV revenues were down $719,000 year over year or 8% as a result of ordering patterns by one of our large public health customers who placed a large order during the first quarter of 2011, which was not repeated in the first quarter of 2012. HCV revenues were $818,000 for the quarter and sequentially up from Q4 of 2011, largely as a result of receiving a CLIA waiver in November of 2011 which increased the number of customers to which we were able to sell the product.
 It is important to note that during the first quarter we saw a substantial increase in the number of customers purchasing our HCV products, which contrasts with the large bulk purchases by a small number of customers experienced in the fourth quarter of 2011.
 In substance abuse testing, revenues decreased from $3.1 million in the first quarter of 2011 to $2.1 million in the first quarter of 2012, primarily as a result of lower Intercept sales. This decrease was the result of a reduction in purchases by our largest domestic laboratory distributor who began selling its own competitive oral fluid drug testing system at the end of 2011, as well as lower international sales due to a reduction in our UK distributor’s target inventory levels.
 First quarter 2012 cryosurgical revenues increased 28% compared to the first quarter of 2011, primarily as a result of higher OTC sales. OTC cryosurgical sales during the quarter increased $791,000 or 77% when compared to 2011, largely as a result of higher sales to both our Latin American OTC distributor Genomma and our European distributor Reckitt Benckiser. Genomma did not purchase from us during the first quarter of 2011 as a result of advertising restraints imposed by domestic government as well as changes required by the Brazilian government to our package inserts. Both of these issues were resolved by the end of 2011. The increased sales to Reckitt Benckiser were the result of the timing of orders placed by them.
 Professional cryosurgical sales in the U.S. increased 2% and international professional sales decreased 15% from Q1 2011. The decrease in international professional sales was primarily due to lower sales in Europe partially offset by higher sales in Australia and Africa.
 Our insurance risk assessment sales decreased from $1.3 million in 2011 to $1.1 million in 2012 as a result of the loss of one of our larger customers who changed its underwriting methodologies in 2011. As mentioned earlier, our molecular collection systems revenues were $3.3 million for Q1 and primarily represent sales of the Oragene product line. These first quarter revenues include a large initial order from a prominent new customer.
 Turning to gross margin, our overall margin for Q1 of 2012 was 66% compared to 65% reported for the first quarter of 2011. Gross margin in the current quarter benefitted from the $1 million HCV milestone payment. This is partially offset by increased product support costs and a decline in the absorption of labor costs when compared to the first quarter of last year.
 Our total operating expenses for the first quarter increased $3.6 million or 26% compared to the first quarter of 2011. The first quarter 2012 expenses include $3.1 million from our molecular diagnostic collection subsidiary. Research and development expenses decreased from $4.4 million to $3.4 million for the quarter due to lower clinical trial costs associated with our OraQuick HIV OTC program.
 Sales and marketing expenses were $7.9 million for the first quarter, an increase of $2.9 million over 2011 due to the inclusion of $1.6 million of DNA Genotek expenses and higher spending as we prepare for the commercialization of our HIV OTC product. General and administrative expenses increased by approximately $1.6 million as a result of $773,000 of DNA Genotek expenses and higher consulting and staffing costs.
 From a bottom line perspective, we reported a net loss of $3.3 million or $0.07 per share compared to a net loss of $2.6 million or $0.06 per share for the same period of 2011. In the first quarter of 2012 we recorded an income tax benefit of $521,000 associated with our operations in Canada.
 Turning briefly to our balance and cash flow, our cash balance at March 31, 2012 was $22.8 million compared to $23.9 million on hand at December 31, 2011. Cash used in operating activities for the first quarter of 2012 was $1.4 million, an improvement over the $2.1 million used during the first quarter of 2011.
 Turning to guidance for the second quarter of 2012, we are projecting a consolidated revenue of approximately $22 million to $22.5 million and a consolidated net loss per share of approximately 9% to 10% for the quarter. And now back to Doug. 
Douglas Michels: Okay. Thanks a lot, Mark. A major priority has been the pursuit of FDA approval of our OraQuick HIV over the country tests. As you will recall we submitted the third and final module to our premarket approval or PMA application to the FDA at the end of 2011. Our PMA submission is under active review by the agency and we are preparing for Blood Products Advisory Committee or BPAC review of our clinical data at a public meeting to be held on May 15 of this year.
 We’re very pleased to be on the schedule and we look forward to presenting our data to the committee. Under the BPAC’s rules, our presentation for the meeting as well as presentations by the FDA and others will be made public about two days before the meeting. Our BPAC presentation will include a summary of our clinical study results, including the most recent phase 3 unobserved user study, a risk benefit analysis of the product and our rationale for why an HIV over the counter test should be approved by the FDA.
 As we’ve discussed previously, the CDC estimates that there are about 1.2 million people in the United States infected with HIV, approximately 240,000 of which are unaware of their status. According to the CDC, individuals who do not know their status are unknowingly responsible for up to 70% of the approximate 50,000 new HIV infections that occur each year here in the U.S. Unfortunately this is occurring despite the widespread availability of both laboratory based and rapid point of care HIV testing options.
 We believe these data clearly demonstrate that additional HIV testing options are urgently needed, and this is a major reason why we’ve invested so much time and resource into our over the counter clinical program. We believe that our rapid HIV in-home test, if approved by the FDA, would be a significant step forward for HIV testing and a powerful addition to the HIV testing options currently available.
 With the BPAC meeting close at hand, we are more focused than ever on planning for commercial launch. We’ve been working closely with our advertising and public relations firms to develop creative materials and to finalize our marketing plans. To the extent permitted under applicable FDA regulations, we are communicating with the major retail outlets through which we intend to sell the product and we are completing preliminary work to qualify OraSure as an approved vendor for these outlets.
 We are also finalizing the logistics in order to catch procedures for this product. Our call center operator has begun initial staffing and personnel training so that this key consumer support service is in place when we can launch the product. Finally we’ve added some new personnel in-house who are specifically assigned to the HIV over the counter initiative in order to support sales, marketing and call center activities.
 In short, we are doing all that we can to ensure that we support our over the counter product and the consumers that use it in a comprehensive and professional manner. Our extensive preparation should enable us to launch this product as quickly as possible if and when we receive FDA approval.
 With respect to our OraQuick HCV tests, our focus in Q1 was on expanding sales. As you know, in 2011 we received the CLIA waiver for this product. As a result, our test can now be more widely used in a broad variety of settings, including health clinics, community-based organizations and physician offices. During the first quarter, we started to see some benefits from the CLIA waiver as well as a more focused sales and marketing effort.
 As Mark explained, domestic OraQuick HCV sales in Q1 increased over the fourth quarter of last year. During 2011 when most of our sales occurred without the benefit of the CLIA waiver, we sold product to 21 state and local health departments. And during the first quarter of this year alone, we’ve sold product to 14 health departments, 9 of which are first time customers. We expect the number of new HCV customers and the level of sales during the rest of the year to grow substantially.
 We are particularly focusing our direct sales efforts on public health departments that already have the infrastructure in place to conduct rapid testing with our OraQuick HIV product. We have now also finalized contracts with three major MedSurge distributors that will focus largely on physician offices and federally funded community health centers. These distributors include McKesson, Henry Schein, and PSS. Sales training activities and launch activities have either occurred or are well underway with each of these organizations.
 With respect to our Merck collaboration, now that we’ve received a CLIA waiver, our detailing activities in the U.S. physician office market have begun. During the first quarter, over 600 calls were made to primary care physicians and over 1,000 calls to gastro and neurologists were conducted. The objective of those calls was to build awareness and begin the sales process.
 The primary care physician is the individual most likely to conduct HCV testing and out of the 600 primary care physician contacts, about 70% expressed an interest to move forward in the sales process with 13% expressing a strong interest to begin testing after the initial call. We expect these activities to also increase as the year progresses.
 As you may know, May is national hepatitis awareness month and this May 19 will be the first ever national hepatitis testing day. We believe these and other activities will continue to focus attention on hepatitis as a public health issue and the need for additional testing and treatment.
 And turning now to our newest business line, DNA Genotek exceeded our expectations for the first quarter. As previously explained, one of DNA Genotek’s strengths is strong customer loyalty and repeat business. Of DNA Genotek’s top 25 customers for the quarter, 23 were repeat customers, and they accounted for over 80% of revenues for that period. The company also acquired several new customers including one significant customer that made a substantial initial purchase during Q1 and is expected to join this list of repeat customers in the future.
 During the first quarter, FDA Genotek also announced that Complete Genomics, an outsourced whole genome sequencing company had begun accepting DNA samples collected with the Oragene collection kit for full sequencing. This is a significant development as genome sequencing historically has been performed primarily with blood samples.
 And one final area I’d like to address is our upcoming annual meeting of stockholders which is scheduled for May 15. As you may have noted, this is the same date on which we have been invited to present our OraQuick HIV over the counter test to the Blood Products Advisory Committee. Because we only confirmed recently that we were scheduled for the May 15 BPAC meeting , we were unable to change the annual meeting to accommodate a different schedule.
 Since Ron Spair and I will be at the BPAC meeting, we will not be able to attend our annual meeting as we have in past years. Doug Watson, the Chairman of our Board will preside and all other members of the board will participate either in person or by phone. Because I will not be attending, we will not make the usual management presentation. However Doug Watson will briefly comment on the business and he will answer questions for those present at the meeting with the assistance as needed from the other members of the management team in attendance.
 So in conclusion, in summary, we delivered solid financial results for the quarter and continued to advance our primary clinical program and business objectives. This is an exciting time of great opportunity for OraSure and we look forward to continued success in both 2012 and beyond.
 And so with that, I will now open the floor to your questions. Operator, please proceed. 
Operator: (Operator Instructions) And we will take our first from Jeff Frelick from Canaccord. 
Jeffrey Frelick: Doug, could you maybe characterize the customers purchasing the HCV tests? I know you showed the difference on the public health side. Were there some physicians in that ordering pattern as well? 
Douglas Michels: Yes absolutely. And like I mentioned, we have seen a very encouraging response from the detailing efforts from Merck. And in previous calls, I said I don’t really believe we’re going to have a good handle on this probably until sometime in the second quarter as we've had the opportunity to follow up on the initial detail which we’re doing of course right now. But we certainly saw almost a 50% increase in the number of domestic customers purchasing the HCV product from first quarter 2012 versus fourth quarter 2011. And we anticipate that it’s just going to continue as we progress throughout the year. 
Jeffrey Frelick: And then just the follow up, maybe for Mark. The guidance assumed that infectious disease little bit more normalized, I guess, HIV patterns and increasing in HCV sales plays out 2Q. 
Mark Kuna: That’s correct. There is a more normalized pattern for HIV and there is an increase in HIV -- HCV sales included in Q2. 
Operator: And we will take our next question from Charles Duncan from JMP Securities. 
Roy Buchanan: Hi guys, this is Roy for Charles. Thanks for taking the call. Sorry to hear about Ron. Hopefully all is well. 
Douglas Michels: Yes we will continue to work through that. Thank you. 
Roy Buchanan: Just a couple of quick questions on that HCV, have you got anything about it, update on the potential for new stream guidelines from CDC? 
Douglas Michels: We don’t have anything specific in terms of when the CDC expects to announce those, but all indications are that it’s still on track. There is no indication that, that’s not going to come out. I think it’s just a matter of timing by the CDC. There continues to be a tremendous support for the guidelines to be released to Chronic Liver Disease Foundation. I think you are probably aware in February announced, put out a statement in support of birth cohort screening for hepatitis C. There were 2, I think, very important articles published in the February 2012 Annals of Internal Medicine. They talked about - one talked about the cost effectiveness of birth cohort screening for hepatitis C in primary care settings. And there was another article in the same journal that highlighted the increases mortality from viral hepatitis in the United States, particularly HCV surpassing now HIV in terms of deaths per 100,000 people in 2007. And so I think there is a growing recognition and acknowledgement that age-based birth cohort screening, one time screening can have a significant impact on public health as well as on the growing economic burden that is hepatitis C. So I fully expect we’re going to see these revised guidelines hopefully sometime within the next several months, certainly this year. 
Roy Buchanan: A quick not related follow up but on the BPAC, can you tell us if you received the recent documents and potentially what - do you see it as a tone any positive or negative, and if you have any concerns about the panel? 
Douglas Michels: Yes, we anticipate that the FDA is going to release all of the documents, both our presentations which have been sent to them as well as the information that they anticipate presenting as well as the presentations that might be presented from other invited guests. They indicated that those documents will be made public no less than 48 hours in advance of the meeting. And obviously we look forward to seeing everything that is intended to be presented. I believe that as part of that we will also see the issue summary from the FDA that will highlight what kinds of questions they intend to pose to the advisory committee. And once all that is available obviously we’ll have an opportunity to comment on that. 
Operator: And we will take our next question coming from Bill Bonello from RBC Capital Markets. 
Bill Bonello: I just have a question on the HIV trends in the quarter, just wondering if you can talk a bit more about the large order that was not repeated. Is that just a timing issue or is that customer that you lost to a competitive situation? 
Douglas Michels: No, it’s purely a timing issue, and we see these now and again, we’ve got several of these large public health jurisdictions that will order of anywhere between $0.5 million to $1 million worth of product at one time. And that’s indeed what happened from Q1 of 2011 to Q2 2012, purely a timing issue. 
Bill Bonello: And then on a loosely related follow-up, on the substance abuse side, you talked about losing volume there to one of your larger customers that has their own test. Are you seeing any beyond that lab not using your test, are you seeing further shake-out in the competitive landscape in terms of any another loss of customers or price pressure or anything like? 
Douglas Michels: Not of any significance and I should mention that the biggest impact to the change in the quarter, was the impact from the international business and that was an inventory adjustment with our UK distributor there. And we expect that to normalize through the back half of the year as well. So that was a one-time event. 
Operator: And we will take our next question comes Caroline Corner from MLV. 
Caroline V. Corner: So just real quick on the HIV OTC, you’ve talked before about perhaps doing web-based sales, are you still planning on those doing those directly? 
Douglas Michels: We are definitely and our website is in the final stages of development and validation obviously. We are also going to be selling the product through online, through retailers’ websites. And that would be, what you would expect would be the wallgreens.com, CVS.com, Walmart.com and the like. So yes, our objective is to give the consumer as many options as we possibly can. All supported consistently through our consumer support center as well as an expanded consumer support network that we will be developing on our regional business with our public health jurisdictions and other healthcare providers. 
Caroline V. Corner: And then my other question, we were pleased to see your collaboration with Complete Genomix on the DNA Genotek side. Can you describe to us a little bit how that relationship works, does the Complete Genomix order the sampling kits from your directly in bulk or is it as they have orders come in, can you just walk us through that process a little bit? 
Douglas Michels: Yes, at this stage of the game, they have announced their willingness to accept oral samples for analysis and as demand comes in, if they choose to make those available to their customers, or potential customers they will do so. 
Caroline V. Corner: And have they already started ordering from you yet? 
Douglas Michels: I believe they have. 
Operator: And we will take our next question from Spencer Nam from ThinkEquity. 
Spencer Nam: Just a couple of quick questions, one on HIV OTC and then one on HCV. On the HIV -- OTC HIV test side, we have heard in the past that with May panel, the approval from the FDA could come as early as summer time, if you will. Is that a fair expectation that we could think about or it is - could it take a little longer or maybe slip into the fourth quarter timeframe? 
Douglas Michels: Spencer, it’s very difficult for us to speculate on the timeline that the FDA might use to ultimately grant us approval. Our objective obviously is to be prepared to not only launch a product but they have all the support resources in place as soon as possible after the advisory review, based on the assumption that we could have a positive recommendation. But all that’s speculation, but we had to put a stake in the ground to make sure we were prepared and that’s what we are preparing for. And I can assure you that if we received a positive recommendation and the FDA chooses to move quickly, we will be prepared to make the product available sometime in the summer. There are other variables that come with any reviews like this. There may be request to alter labeling or change instructions for use, or modify those kinds of things. And depending on the lead time to have materials printed or things like that, that can always impact timing. And we won’t know any of those until we’ve gone to the advisory meeting. I can tell you this. We’ve worked so hard on this project over the last seven years. We’ve executed our studies as effectively as we can. We - the team did a super job of executing this final study. I think we’ve got a real solid package that’s going through the FDA. And we’re going to go there and we are going to present it as effectively as we possibly can, answer the panel’s questions and our hope is that they are going to give us a positive recommendation but we’re going to know on a couple weeks. We are excited about it. 
Spencer Nam: So the second question I have is on the HCV side, now that you’ve completed - you’ve now completed the detailing training with Merck’s team. I was curious if there was a specific sort of a launch plan if you will or launch, or the sales and marketing plan from the Merck team on how to integrate OraQuick HCV with their sales effort and clearly they - Merck is clearly making headways with their sales increase of controls. But as we think about HCV test, OraQuick HCV being part of that package going forward, I was wondering if there was any sort of specific plan that Merck guys have laid out that you guys could maybe share with us a little bit, if there is any? 
Douglas Michels: Right, so remember we are detailing the product into the physician office market through 2 different organizations within Merck. One is their infectious disease specialist that primarily is calling on gastro neurologists, ID docs and hepatologists. The other group is the new business group, that’s a telesales group that’s calling primarily on primary care physicians and internal medicine docs. And I tried to give you some color in the opening remarks about the first quarter statistics in terms of number of calls directed to each of those and what kind of interest we’ve received from them, in particular the people calling on the new business - out of the new business group the telesales group that are calling on primary care, remember it’s primary care that are doing most of the initial testing and referring to the specialists. And as I mentioned in the first quarter, there were about 600 calls made, 70% of which resulted in some expression of interest. I think that’s a very encouraging number, 13% of which expressed a high level of interest to begin to use the product. Now obviously remember, Merck is not selling the product, they are detailing the product. And then we’ve got to follow back up with our manufacturers’ reps and with the distributor reps to actually sell the product in. Merck’s organization is following a very disciplined 5 step selling model, which includes raising awareness, educating to the risk factors, and then encouraging screening and testing and going through that whole process. So early on, and that’s what I said in the last call, early on we are encouraged by the results. We’ve got to look and see how many of these expressions of interests and leads now translate into actual set up and sales and how the numbers continue to progress into the second quarter and the rest of the year. We will continue to report on that as we go forward with Merck. 
Operator: We will take our next question from Bill Bonello from RBC Capital Markets. 
Bill Bonello: Just another question on the HSV customer growth and physician interest, do you have a sense of whether the public health customers that are purchasing tests are initiating new or expanded testing initiatives or are these customers that are just simply transitioning from sending out the tests to a reference lab to doing them onsite? And then a similar question on the interest on the physician side, especially the 13% that indicated the strong interest, are those the docs that are already ordering a lot of HCV testing and again they are just transitioning to doing it in their office, or are these docs that expect to do more screening? 
Douglas Michels: So let me start with the public health piece first. I think it’s a combination of both - both people who are currently using laboratory based method or perhaps sending out that can now use the test in house. But it’s also public health jurisdictions that are interested in setting up new programs. And we’ve had a significant expression of interest from jurisdictions that want to include hepatitis testing with HIV and I expect we’re going to see more integration of those activities as we go out through the remainder of 2012. On the physician’s office side, I don’t have quite the granularity yet until we see how the conversions take place, but my belief is that most of the expressions of interest are coming from those docs that are currently sending out, that can now perform the testing in house. 
Operator: And we will take our next question from Jeff Frelick from Canaccord. 
Jeffrey Frelick: A follow-up, maybe just kind of follow up on the last question. If all the docs that you’re getting some traction with already, comfortable ordering some level of HCV testing. Curious your sense on if we get a changing guidelines in the near term how does that message get conveyed and what do you think the responses and with the Merck, I assume that we’re helping to deliver that message into the primary care setting. 
Douglas Michels: No question. So obviously Merck’s detailing efforts will be an effective vehicle to deliver that message but so will the medical societies, medical organizations, Liver Disease Foundation, the CDC will be highly effective in that our work with the AMA, with NMA that we are currently in contact with about this possibility, it will, I believe, a highly effective communication plan, we will obviously be marketing it very extensively. 
Operator: I am showing the final question at this time from Spencer Nam from ThinkEquity. 
Spencer Nam: Just one follow-up question on the HCV Merck partnership, as the partnership will need to be revisited later in the part of the year, I was curious how, what sort of a lead time you guys will have in terms of having the discussion with Merck about continuing on, or coming up with some new set up if that’s necessary. Have you guys begun that conversation yet or is it going to be a little more close to the exploration time if you will? 
Douglas Michels: No, there are certainly some lead times associated with the need to - by each party to express their intention to renew or desire to renew the agreement or to modify or terminate. And we’ve begun the discussions. I’ve said all along that we’ve been quite pleased with the Merck relationship. Both parties have honored our respective commitments and the communication channels are pretty wide open. We meet regularly with them, have weekly conversations with them, meet in person with them no less than monthly. And so my hope is that we will continue to work with Merck and obviously as the marketplace develops, we will look at other opportunities to see how we can enhance our presence in the marketplace, possibly through other arrangements. But we will have more to say about that as those discussions continue and we make progress, I just want to be clear, and I hope you have seen from the data that I have shared with you today, we’re making some progress now, apparent progress with the detailing efforts, we’ve got to see that translate into meaningful revenue which we expect it will. And we will just continue to update you on both the progress of the business as well as our continued relationship with Merck. 
Operator: Okay. Ladies and gentlemen due to available time that brings an end to the Q&A session of today’s call. I will now turn the call over to Doug Michels for closing remarks. 
Douglas Michels: I just want to thank everybody for participating on today’s call and obviously for your continued interest in OraSure. And I wish you all a good afternoon and a good evening. Thanks again. Bye bye. 
Operator: Ladies and gentlemen this does conclude your conference. You may now disconnect. And have a great day.